Operator: Good afternoon, ladies and gentlemen, and welcome to the Linamar Q1 2025 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we'll conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday, May 7, 2025. I would now like to turn the conference over to Linda Hasenfratz, Executive Chair. Please go ahead.
Linda Hasenfratz: Thanks so much. Good afternoon, everyone, and welcome to our first quarter conference call. Before I begin, I'll draw your attention to the disclaimer currently being broadcast. Joining me this afternoon, as usual, are Jim Jarrell, our President and CEO; and Dale Schneider, our CFO, both of whom will be addressing the call formally. Also available for questions are Mark Stoddart and Kevin Hallahan and other members of our corporate IR, marketing, finance and legal team. Okay. I'll start off with some highlights of the quarter. I think a good place to start is a quick reminder of the key value drivers that make Linamar such a great investment and how they played out this quarter. First, Linamar has a long track record of consistent, sustainable results, driving out of our diverse business. And Q1 was certainly another good example with earnings and margin growth, both delivered in a time frame when most companies are not achieving that. The second key point is our flexibility to mitigate risk, never more important than in an uncertain time such as we're experiencing. Our equipment is programmable, flexible equipment. It can be used on a large variety of types of products. We're able to take equipment out of existing lines. And again, especially important in this time frame of market volumes being down, and reallocate them into launching business to help keep our CapEx spending lower without impacting our ability to grow. And you saw that again this quarter with CapEx spending below normal levels that we would normally have. We can also use that flexible equipment to our advantage at the moment to help us win takeover business. Third, we have always run a prudent conservative balance sheet. We target keeping net debt to EBITDA under 1.5x. Q1, again, saw net debt to EBITDA right around that 1.04 mark, an excellent level to be at given great opportunities in the market today. Lastly, returning cash to shareholders is a key value creation driver at Linamar as well. You saw that also play out this quarter, both with continued repurchase of shares as well as an increase announced to our dividend. Turning to highlights for the quarter. I would identify these as our most relevant accomplishments. First, we saw normalized earnings growth overall and in both segments despite down markets in both segments. That earnings growth is driving out of excellent cost reductions and improved operational efficiencies, driven by our global teams, but in fact, took our normalized operating earnings margin to our target level of 10% in the quarter. That earnings growth also drives out-of-market share growth in both segments, which is critical in times of market declines to provide some offset to those traditional volumes declining. Finally, we saw continued positive free cash flow, unusual in the first quarter of the year, which is helping to keep that balance sheet strong, liquidity high, and keeping us well positioned for action in an opportunistic landscape. Turning to some of the numbers. We saw sales hit $2.5 billion, that's down 7% over last year in markets that were down significantly more, as Jim is going to outline for you in a moment. Sales were down 13% in our Industrial business, largely on lower Skyjack sales in a market that was dramatically down. Sales were down more modestly in the Mobility segment at 5% down with launching business really helping to offset very soft markets. North America was down 6% and Europe down 7%, both important markets for us in our Mobility segment. Normalized net earnings, on the other hand, were up 5% on strong operational performance, reaching $167.2 million or 6.6% of sales. Normalized EPS was $2.76, up 6.6% over Q1 last year. It's great to see this earnings growth and margin improvement in a challenging environment. I would summarize our results this quarter as being most impacted by, first, those operational improvements and cost reductions in both segments already mentioned, launching business in our Mobility segment, some FX tailwind more so on the industrial side, steady sales and earnings at MacDon in a tough market, offset by those steep declines in the mobility market volumes as noted in Europe and North America and steep declines in the access market volumes as well. Cash flow was positive at $76.4 million. We continue to actively reallocate capital from programs with less volume or softer launches and trimming our capital bill as a result. We expect to continue to generate significant free cash flow in 2025 for another strongly positive result for the year. I want to have a look at an update on the tariff side. Despite the myriad of tariffs put in place over the last couple of months, Linamar continues to have minimal bottom-line impact. We have some impact in a few areas, but not at a material level, as you can see here details by each type of tariff that's active at the moment. In general, our products are USMCA compliant for virtually everything we ship to the U.S., meaning no tariff for us on our industrial products where we're the importer of record or for our customers on the mobility side, where they are the importer of record. I do worry, however, about the growing impact of tariffs on our automaker customers. However, as they continue to build up, whether they be Medicare, vehicle car parts for the offshore purchases, it is all starting to build up. The cost to our customers are in the billions, and I do worry about concern to impact the vehicle pricing and therefore, demand. Now on the positive side, we are seeing customers looking at onshoring parts and systems that they are currently buying offshore from Asia or from Europe. We're building up a significant list of new business opportunities that are in the fation process for our North American plant. The U.S. is still respecting the USMCA agreement, meaning these parts can be supplied from the U.S., from Canada, or Mexico, tariff-free at the moment as long as they stay USMCA compliant. Where the job goes will depend on where we have capacity, experience, and teams available to take on the work as well, of course, as customer preference. We believe that our governments in North America will prioritize a USMCA 2.0 renegotiation to cement in place what I think of as Fortress North America in terms of tariff-free trade with some amendment support. And I believe that will be positive for our business in North America. With that, I'm going to turn it over to our CEO, Jim Gerald, to review industry and operations updates in a little more detail. Jim?
Jim Jarrell: Thanks, Linda, and good afternoon, everyone. As I said last quarter and what you see on the screen remains a key theme that is keeping our team here at Linamar grounded in '25 despite a lot of noise in the external market. So no matter what is happening outside our walls, we must find ways to grow the revenue, grow profit, and grow our team. We've been using these 3 filters for everything that comes across our desks, and if an issue does not meet one of these, at least, we ask ourselves why do we do it? And just before I begin my segment and market-by-market commentary, I wanted to highlight a few keys to how we approach continuous improvement in Linamar and how we are driving earnings, particularly in this past quarter. As Linda highlighted, Q1 sales were down due to tough markets, yet Linamar's normalized net earnings per share was up 6.6% margins, while at the consolidated level, improved nearly 75 basis points. We achieved this in what was otherwise a tough quarter due to a few things. One, the stepping stool success philosophy. The Linamar stepping stools our performance management system, balanced scorecard, and access the KPI that drives leadership. CAT or cost attack teams is our process for continuous and relentless pursuit of identifying and eliminating waste across the company globally. Three, launch performance is an issue that can make or break a new program during a ramp-up. I would say that Linamar has an industry-leading launch system and launch track record. Even so, earlier this year, we deep-dived lessons learned on a number of launches and continue to hone our global process. The early results from our update are yielding incremental improvement. Every manufacturing company has issued period. It's how you ensure you can navigate and stay on time, on budget with excellent quality. And that's another point, fanatical discipline, world-class quality and delivery to our customers. And number five, lastly, our flexible CMC manufacturing strategy enables us to pivot when market volumes don't live up to the planned program expectations. Lumpy EV market adoption and a refocus of multi-energy solutions by our customers capacities and are aligned to new required demand levels. Again, flexibility is a Linamar advantage. Linda already mentioned the dynamics around trade and tariffs we are dealing with. I'll hold off commenting until the Q&A after Dale has walked through our in-depth results. But what I will say is that Linamar team is hard at work to mitigate any increased costs wherever we can and that we are finding ways to deploy our entrepreneurial culture to create opportunities with the realignment of the supply chains. Now moving on to look at the access or AWP market. Globally, the overall industry was down 34% in the first quarter of '25 compared to last year. Market declines were felt in both North America and Asia Pacific, with Europe being flat. U.S. nonresidential construction is up roughly 4% through the first 2 months of the year. The Dodge Momentum Index is also up. So there are positive trends to the underlying demand, but AWP volumes have been challenged. Recent industry consolidation in the rental company sector, tariffs, and overall economic headwinds are hampering current AWP demand. We're speaking with our customers to see how much of that demand was just a slower start to the year, and it was just simply pushed out to a future quarter. Q2 and Q3 are typically the strong seasonal quarters in the business. Our backlog and booking rates have trended up in the past few weeks, and so we're seeing more positive signals from our customers. Bottom line, again, for Q1, we think it's great to see Skyjack outperform the market and fare better than the overall industry. In AWP, from a new product introduction standpoint, there's an exciting news to share here in both scissors and in booms. First, our 19-foot micro scissor launched last year has received an international award for powered access due in part to our new eDrive system and for its overall efficiency. Next, our boom line will soon add a hybrid-powered option. The rental market is calling for a more quiet, clean, and sustainable access equipment. Our new hybrid booms deliver with facility of conventional ICE power, but now made it to a zero-emission battery electric mode. The new hybrid booms join our recently launched fully electric boom lineup, offering rental houses and contractors more options to suit the specific needs of any given job site. As always at Skyjack, we remain committed to delivering world-class products focused around user safety through new and innovative products that provide our customers the best total cost of ownership and certainly a compelling ROI. Next, we'll turn to the agriculture industry volumes. As we mentioned on our last earnings call, our core North American large ag market was in a multi-year down cycle. We noted that commodity prices needed to stabilize, and inventory flow-through are required ahead of the next industry up cycle. And that's how 2025 is playing out today. In our primary North American market, industry volumes are down again in double digits for a second year. Through the first 3 months of 2025, combined retails were, in fact, down 46%, high horsepower tractors were down 19%. Again, by driving market share growth, Linamar's 3 core agriculture equipment brands, e MacDon, Salford, and Bourgault, were able to outpace the market. Unit sales through the first 3 months of the year are down only 8% in aggregate against a weak industry backdrop, some fantastic results by our Linamar Agricultural Group. As we look ahead for the full year expectation, industry, large ag is expected to finish 2025 down roughly 30% in North America, 5% in Europe, and down 12% globally overall. As we entered 2025, there was a broad expectation that it was going to be the trough in a typical ag market multi-year down cycle, but we'll be watching carefully as farm income remains low and new equipment demand is impacted by a wait-and-see approach by farmers. Many mainline OEMs are focused on moving inventory through the distribution channels this year, and there's some indication that there could be government support coming via incentives for U.S. farmers. There are positive signs for the future as the sector prepares for the next market up cycle, but we'll continue to monitor these trends very closely. Moving on to the Mobility segment. The first quarter saw industry vehicle production volumes fall by 5.6% in North America, 6.7% in Europe, with Asia Pacific actually gaining over 7%. Industry experts have built in the negative impact from tariffs into their annual forecast for both '25 and '26. We're hopeful those forecasts will now improve slightly following the transitionary period guidelines laid out by the U.S. administration just late last week. Of course, the devil is in the details, and there's a level of speculation and base assumptions made on tariffs impact overall. But for now, the view is full year '25 is expecting an industry decline of 9.3% in North America, a further 3.1% drop in Europe, with Asia mostly flat. Looking specifically at Q1 for Linamar Mobility, we improved content per vehicle in North America to $300 in Asia to $11.76. Europe, however, saw a reduction mainly due to lower production volumes really around EV platforms that the company has content on. All told, global CTV for the first quarter was $84.25, down slightly from the same quarter last year, although right in line where we track through overall 2024. So although we can't control the macro environment where the volume trade of EV adoption, we can control how we perform for our customers. And I'm excited to share that Linamar has once again received General Motors Supplier of the Year award. I recently attended the GM ceremony to accept this award that marked the ninth, yes, it's underlined right in my page, the ninth year in a row that Linamar has won this honor. The Linamar team strives to achieve deep customer connections, and we truly value the relationships that we've built over time based on a reputation of partnership and executing on those commitments. It's that industry reputation that opens the door to new opportunities during challenging times. I'll highlight a few of the most recent successes in terms of takeover work we've added to new business wins. On our last call, I mentioned we had booked nearly $180 million of new work in the form of takeover contracts from struggling or distressed suppliers. That number has continued to grow, with now close to $200 million in annualized sales that we are adding to our launch book. Here, you can see a few examples of new programs we picked up in the last 6 to 8 months, including traditional engine, transmission, and mobility work, but also propulsion-agnostic structural and chassis content as well. Linamar's flexible manufacturing strategy, balance sheet strength, and capacity to invest make us a trusted partner for OEMs when they're experiencing underperformance and see the risk within their current supply base. The Linamar team has built reputation for executing [indiscernible] offering a timely and welcome solution for the OEMs. And with that, I'm going to turn it over to our CFO, Dale, for a more in-depth financial review.
Dale Schneider: Thank you, Jim, and good afternoon, everyone. Linda has already covered at a high level the solid normalized financial performance in the quarter. So I'll just jump right into the business segment review, starting with Industrial. Industrial sales decreased by 13.1% or $95.2 million to $633.4 million in Q1. This decline was primarily due to the lower access equipment and agricultural sales despite the Noble market share growth in certain products. However, the negative impact was partially offset by increased sales from our acquisition of Borax as well as the favorable changes in FX rates. Normalized industrial operating earnings in Q1 increased by $6.4 million or 5.3% over last year to $126.6 million. This growth was primarily driven by agriculture improvements resulting from cost reductions and operational efficiencies, favorable changes in the foreign exchange rates, and improved earnings related to the acquisition of Bourgault. However, these positive factors were partially offset by reduced access volumes due to lower demand. Turning to Mobility. Sales decreased by $94.6 million or 4.7% over Q1 last year to $1.9 billion. This decline was primarily due to the significant downturns in the European and North American markets, reduced production for certain programs that are ending, and lower volumes on the EV programs where the company has significant business. Q1 normalized operating earnings for Mobility were up 1.5% over last year to $125.4 million. This improvement was driven by cost reductions, operational efficiencies, reduced launch costs, and customer cost recoveries. Additionally, there was a modest favorable FX impact from the changes in rates. However, these positive factors were partially offset by the contribution impact due to the significant downturn in the automotive market, the lower production on certain ending programs and we reduced volumes on certain mature programs where we have significant business. Starting with our overall cash position, we came in at $909.2 million on March 31, a decrease of $145.4 million compared to December. The first quarter generated $164.3 million in cash from operating activities being used primarily to fund Q1 CapEx and debt repayments. Turning to leverage. Net debt to EBITDA was 1.04x in the quarter, down from the high of 1.24x after the acquisition of Bourgault in Q1 2024. If you normalize EBITDA, the net debt to EBITDA further reduces from the leverage of 1.0x to 0.81x due to the goodwill impairments in Q4 last year. The amount of available credit on our credit facilities was $913.4 million at the end of the quarter. Our available liquidity at the end of Q1 remained strong at $1.8 billion. As a result, we currently believe we have sufficient liquidity to satisfy our financial obligations during 2025. It would be appropriate to give a quick update on the status of our NCIB program that was launched and announced in Q3 2024. In the 12-month period, the program allowed Linamar to purchase and cancel up to 4 million shares. We've been very active on the NCIB program since we started purchasing. In Q1, we have purchased 1 million shares and program to date, we're nearly at 1.8 million shares, which equates to nearly $100 million being spent on the program. This is aligned with our capital allocation strategy to optimize the balance sheet, especially in these turbulent times, focusing on the growth of the business and returning cash -- excess cash to shareholders. I'll start off with saying the current outlook does not yet factor in any direct impacts of the U.S. tariffs. Linda has already discussed the tariffs, so I'll move on to the outlook. Looking towards the next quarter, the Mobility segment will see sales remain flat and double-digit growth in OE compared to Q2 2024. The sales remained stable despite the expected market declines in Europe and North America as both markets are expected to be down 4% and 10%, respectively. The OE will continue to improve on cost reductions, operational improvements and from added contribution on our launching programs. The Industrial segment will see double-digit sales and OE declines when compared to Q2 2024. Sales are declining on down markets expected in both ag and access equipment. OE is down because of the decremental impact on the changes in sales in addition to a product mix, which is currently expected to be unfavorable. As a result, the expectation on the consolidated results for Q2 is to have a decline in sales and a modest decline in EPS. Even with the reductions in the market, free cash flow generation will remain strong in the second quarter. Turning to the full year 2025. For mobility, industry forecasters are predicting continued market softness in 2025. Notwithstanding the market softness, our sales will grow over 2024 levels and OE will grow at an accelerated double-digit rate. We still see launching programs maintaining our previous outlook and adding between $500 million and $700 million in sales that will help mitigate the market declines. As a result, we are still expecting to see margin expansion, which will push mobility back into its normal range of 7% to 10%. Industrial will see double-digit market declines in ag and single-digit declines in access, which will result in an overall net decline in sales. The sales decline and the expected product mix of the sales will result in a double-digit decline in OE for 2024. Despite the OE levels, margins will still be in our normal range of 14% to 18% for the segment. Overall, for 2025, sales will be flat. EPS will grow. Free cash flow will remain strong, which will ensure our balance sheet is also strong. In 2026, the Mobility segment is expected to continue its sales growth and to achieve double-digit operating earnings. The automotive markets are projected to grow by 1.1% over 2025, which will aid Mobility's expansion. Additionally, new launches are anticipated to contribute an additional $500 million to $700 million in sales. The OE will outpace the sales growth due to the increased volumes, the ongoing improvements in operational efficiency, and cost reduction. As a result, the OE margins are expected to expand further into our normal range of 7% to 10% of sales. The Industrial segment is also forecasted to growth in both sales and earnings. The access market is expected to grow by 2.3% over 2025, driving sales growth of Skyjack. Furthermore, the agricultural markets are anticipated to start to rebound in 2026, contributing to sales growth in the ag businesses. Consequently, the OE is expected to grow in 2026 due to the volume increases in both access and ag. From a consolidated perspective, the segments will drive overall sales growth in 2026 and will result in double-digit earnings per share growth, thereby expanding net margins. The balance sheet is expected to remain strong with solid leverage and strong free cash flow generation. Thank you. And I'd now like to open up for questions.
Operator: [Operator Instructions] Your first question comes from Tamy Chen from BMO Capital Markets.
Tamy Chen : I wanted to start with the tariff topic here. I know it's still been pretty recent with the recent clarifications from the U.S. administration on the tariffs. But I'm just wondering, at this point, are customers starting to respond and make some decisions? Linda, I think you mentioned that they are starting to think about onshoring parts. If you could talk a little bit more about that? And going forward, what sort of actions, at least I guess, for the rest of this year, if we assume the tariffs stay as is, do you think are most likely that your customers will think about doing?
Linda Hasenfratz: Yes. I think that the great news is that the U.S. is still respecting the USMCA agreement, which means that the product that we're shipping into the U.S. from Canada and Mexico, as long as it's USMCA compliant, which it is, continues to travel in tariff-free, which is great news, right? I mean, to me, it's really important that we respect that sort of fortress North America and continue to work within this highly integrated supply chain. So what happened last week was that that was clarified for one thing. And secondly, auto parts tariffs of 25% were imposed on products that are being bought offshore, so outside of North America. And a system put in place whereby rebates are available to help offset the cost of those tariffs this year and next year, giving the automakers time to onshore some of those parts. So to me, that is going to be the clear priority is to look at what is being bought offshore, whether it be from Asia or from Europe, for instance, and how do they bring that back into North America. And I would say we're definitely seeing action and questions in that regard from our customers, which we see as a huge opportunity for our facilities. I mean our U.S. facilities, but also our Canadian and Mexico facilities, again, as we continue to respect the USMCA agreement.
Jim Jarrell: Yes. I think just to maybe add a little bit to that as well. The customers are not asking us to relocate components at this point in time or set up things that we're doing in Canada and Mexico into the U.S. So I think, as Linda stated, USMCA compliance is sort of the rule of thumb now that we're all following. And more interesting is the opportunities that are being started because of the tariffs that are imposed in Europe and in Asia, particularly that are costing a lot of dollars, as you can see with the OEMs that have released some of the speculative numbers that they'll be hit with. So those are creating opportunities for USMCA compliance. And as Linda said, we can offer Mexico, U.S., Canada, where it makes the most sense as well. One thing that we do with customers right now, one of the key things that we're really seeing a lot of questions around is like rare minerals, specifically coming out of Asia. And that to me seems like to be really one of the bigger concerns because of the tariffs and the actual ability to get rare minerals out of there. So those are pretty critical things customers are worried about here. I mean long term, I mean, how the big concern for us is volumes. How does this really impact the volumes for us long term?
Tamy Chen : And I wanted to confirm, so the direct headwind on you from the current tariff regime, where you're the importer of record. I think you said earlier for both of your segments, it's very minimal. So I assume that's not really material. Can you confirm that? And if there is some sizable amount, do you expect to be able to get recoveries on this from your customers?
Linda Hasenfratz: Yes. You're correct. It is not a material amount. It's not 0, but it is not a material level. So like things like metal tariffs, for instance, on the mobility side, we have normal metal market pass-throughs to customers. That's just normal course operations. So there would be no impact on the mobility side for metal. On the industrial side, we import very little steel and aluminum for our operations. On the supply side, the majority of steel and aluminum going into supplier products are purchased in the U.S. that are coming from U.S. suppliers. So not a lot of impact there either. So there's a little bit of impact here and there, maybe for some auto parts, maybe cast and forgings, and several parts that we might be shipping into the U.S. coming from offshore. But again, it's not a material level. So it's not 0, but it is not a significant impact to us.
Jim Jarrell: You asked a question about recoveries, too. Of course, things a lot of customers direct, right, sources. So in those situations, obviously, we do get the ability to recover that. And then the other side, we're working with suppliers to potentially have to change locations with their Tier 2, Tier 3. Certainly, HS code learning, we've all learned a lot more about HS code than we ever want to know in our lives. and a lot of HS code thinking engineering in regards to how you do that, and then transfer prices, right, if you need to work those. So I think we've got a really good mitigation strategy. We meet weekly on this as a topic. Elliot, who's here, our General Counsel, is sort of leading that, and that just cascades through the whole organization. So we know to mitigate, go after customers, talk to suppliers, and really get -- have a good handle on this.
Tamy Chen : And my last question is, so in this backdrop, it sort of sounds like from a capital allocation, share buyback perspective, you still got capacity on your current NCIB. So should investors interpret that as you will continue to remain active? I ask because we have seen other of your peers pause their buybacks given this current uncertain situation.
Linda Hasenfratz: Yes. I mean we've been very active on the buyback since we initiated it in November. I mean we think it is a good use of capital, especially with the very depressed share prices that we've experienced in the last few months, thanks to all the pressure from these tariff unknowns. But I will say that as we outlined in our capital allocation strategy that we outlined last year, our top priority is always innovation and growth. And we are seeing a lot of growth opportunities out there right now. So although we don't -- we are not putting the buyback on goal, we definitely are going to balance it with these growth opportunities. So that's something that we will look to actively be doing in the back half of the year.
Operator: And our next question comes from Brian Morrison from TD Cowen.
Brian Morrison : First, I do want to commend you on your Canadian commitment, a solid quarter, and remaining active with your NCIB. And I want to follow along what Tammy asked on the tariffs here. So it sounds like the impact is limited. It will flow through to the OEM. What do you mean by no tariffs are factored into guidance? Is this referring to production volumes? And what light vehicle production volumes are factored in for North America?
Linda Hasenfratz: Yes. I mean in terms of what's factored in, as noted, we have minimal impact. So there's not much to factor in, okay? So when we say not factoring in, that would be other things that we don't know that might be coming down the pipe. So as we know, things change pretty regularly in this area. So we're conscious of the fact that if something changes, it's obviously not going to be reflected.
Jim Jarrell: Yes. I would also say, Brian, some examples, like there is exposure. But if we believe we're working with our customer to get recovery, I mean, that's what we're assuming in our forecasting right now. So we know that going into this, right? And so there's those, as Linda said, these things are changing day by day. And so we sort of understand where we are at right now today.
Brian Morrison : Yes. No, I understand that. I just wondered what is the volume of light vehicle production you have factored in for North America in your guidance.
Jim Jarrell: Yes, that -- yes, the North American is factoring in based on IHS is the exposure on the tariffs. That's what we have at the latest in the IHS.
Kevin Hallahan: Yes. Brian, we do utilize IHS or S&P Mobility for forecast. They have been pretty on top of their forecast in terms of adjusting to the tariff regimes as they come through. I think now they have kind of their baseline set and that forecast was published, I believe, on April 15. So that's really what we are walking through with our latest estimates that showed. So the announcements that was made subsequently last week as we led up to the major deadlines maybe softened a little bit in terms of their harness. So maybe a little bit of upside there. But again, as Jim said, we'll wait and watch it.
Jim Jarrell: Yes. And I think Linda mentioned it and we mentioned, I think the biggest fear for all of us is the volumes, what happens with all the additional tariffs and costs, and then there was a lot of releases pulled forward in Q1 to avoid it, where do the inventory sit? So again, that's a watch and see, right?
Brian Morrison : That's fair, Jim. I want to turn to Dale. I want to go through the industrial margin of 20%. So industrial sales in the quarter are down $100 million. We often said your decrements are about 30%, yet your contribution is up $7 million. So you should be down $30 million, yet you're up $7 million. So walk me through the impact of those three buckets you mentioned, cost efficiencies, FX, and Forge. And what is this FX exposure? Is it transactional USD on Canadian costs? Like what is that?
Dale Schneider: Yes. The FX we're referring to is the impact on sales and purchases from buying or selling foreign currencies. So it's inherent in our income statement and balance sheet as we do our transactions. So it's not the gain or loss on the balance sheet that we normally [indiscernible].
Brian Morrison : Yes. No, I understand that, but I'm asking what it is and what is the impact on your margin in the quarter or each of the three.
Linda Hasenfratz: Brian, we don't detail -- we don't provide that level of detail in terms of what the impact of each thing is. But I'll say a few things. One, the margin in the Industrial segment is very mix-dependent because our agricultural businesses, some even more so than others, tend to run at a little bit higher margins than others. So if you've got stronger performance in one of those businesses, then it's going to skew the margin. So mix was definitely a big part of it. And secondly, the improvements that we talked about, operational efficiencies. A year ago, we were still struggling with some of the supplier issues that made us quite inefficient in how we ramp on the line. So that was certainly a big factor as well. Forge, it was just one less month last year. If you recall, we started -- we acquired Forge as of February 1. So it was really just one month's worth of additional earnings from Forge.
Brian Morrison : I just -- I don't want to -- I want to respect your competitive disclosure here. But when you have such a big movement with respect to the contribution, perhaps you could rank what drove that? Is it the cost efficiencies? Is it FX? Or is it the mix?
Jim Jarrell: I would say mix would be our biggest driver of that.
Linda Hasenfratz: Yes. Mix and efficiencies, and then something from companies on that.
Operator: Thank you so much for that question as well, and third one we have here is Michael Glen from Raymond James.
Michael Glen : So just to start, circling back to the Q4 report, there were some indications that you were working to move some product across the border in anticipation of tariffs. And I'm just trying to get a sense, how much of Q1 was influenced by cross-border movement, were customers in either segments buying ahead of any like, just trying to potentially avoid tariffs? Just trying to get a sense of that.
Jim Jarrell: It's a really good question, Michael, on the buy ahead. We don't know exactly what they bought ahead. But what we do know is what we took across the border. We took about 3, 4 months of industrial product across the border. We did -- I think the customers in the mobility side pulled in Q1 higher levels because they were trying to avoid tariffs as well. And we haven't seen any pullback on the mobility side as of yet. But I mean, that's what we had done with our industrial products is pulled forward.
Mark Stoddart: Mike, I would sort of preface a little bit of what Jim said. I mean we saw some moderate increases in mobility schedules -- but I think they were anticipating, and what we saw, right, is pretty heavy sales in February and March, and obviously, significant reduction in inventories. But it wasn't extreme pull ahead in regards, and we weren't seeing a lot of significant increases in releases. And right now, the run rate is kind of at the normal level, a little higher.
Linda Hasenfratz: Yes. And I would just add as well that the fact that we had 3 or 4 months across the border of the -- our industrial group was a bit of an insurance policy in case tariffs were enacted. But as noted, our products because they are USMCA compliant are continuing to ship tariff-free into the U.S. So it's sort of irrelevant. The fact that we have the inventory over there is relevant.
Michael Glen : And just looking at -- Linda, you made the comments about looking at what customers might be looking to reshore. I'm just trying to -- does this potentially mean you're looking at M&A in new segments? I'm just trying to understand what might be made overseas, what Linamar makes. Could we be looking at you branching into a new type of manufacturing line?
Linda Hasenfratz: Yes. I mean when I was talking about reshoring opportunity, it was about us taking on contracts for parts or subassemblies that our customers might be buying offshore right now. So that won't require us to acquire anything. It won't require us to add new product lines. I mean it's the same kind of stuff that we're making today that maybe they're buying offshore, and they want to buy here in North America, whether it be castings, forgings, machine parts, subassemblies, there's good opportunity as they look to reshore stuff that they might be buying outside of North America.
Jim Jarrell: Yes. I think there's a couple of things going on because if you take a look at the North American OEMs and what they would traditionally consider low-cost sourcing, which could be Asia, and then also European sourcing, they're looking because they have a couple of years of time line to get things reshored here. So those are -- that's an opportunity. And then also the second side is the customers that are in Europe that are sending parts over, and Asia sending parts over, those are hit today on tariffs. They're looking for onshoring. So those -- they're looking for suppliers that has a USMCA compliant flag in the U.S., Canada, and Mexico to use that as a gateway into the U.S.
Michael Glen : And are you able to give some thoughts about where your dealer inventory levels are across your agriculture product lines?
Jim Jarrell: Do you have a sense of that, those would be? I mean they're still a little high like coming down.
Dale Schneider: Yes. I guess, Michael, the bigger thing for the dealer network is the amount of inventory that they have overall, not necessarily our inventory, not necessarily the brands of MacDon, Salford, and Bourgault inventory that they have overall across all of the lines that they carry. So -- and typically, when they have that inventory, they have to pay interest, right, because it's on a floor plan loan payment system. So they have to endure the interest expense of that. So that reached -- that interest expense kind of reached -- and the inventory levels kind of reached the peak, I would say, kind of Q2 to Q3 of last year. And so from that standpoint, that's kind of when the dealers need to start kind of taking a new product from the OEMs, and so they've been doing that. That number is coming down, but it's still a little bit high.
Michael Glen : And then finally, Linda, with the border becoming a tool of policy increasingly, do you believe that it is necessary for Linamar to look at putting more capacity in the U.S. surrounding your core products, whether those are industrial or automotive related?
Linda Hasenfratz: I mean we -- Michael, we already have facilities in the U.S. We have 10 plants in the U.S. So we're obviously going to be looking for opportunities for those facilities. We also, of course, have our facilities in Canada and Mexico, which have lots of capability across a wide range of products as well. So when we're looking to decide on what plant we're going to put a product in, it's really about some of those fundamentals. Is there capacity somewhere? Where is the capability? Where is the teams who know how to run this type of product, where is the customer plant, and what's the closest proximity, which sometimes is our Southern Ontario plant. So it's really going to be on a plant-by-plant or program-by-program basis where we end up putting that work. So obviously, we're going to try and get all of our plants fully full of new work. And I think there's plenty of opportunity to be able to do that. That's our U.S. plant, but also our Canadian and Mexican plants. So I do not feel the need to shift anything. As Jim has said, nobody has asked us to do that. And I think there's great opportunity, in fact, to grow our business in all three countries.
Jim Jarrell: I mean each one of these regions, Mexico, Canada, the U.S., we have open capacity to take on new work. So we have that ability to offer that multi-country approach that sort of North America is strong.
Operator: And for our next question comes from Jonathan Goldman from Scotiabank.
Jonathan Goldman: Most of them have already been asked, and I do actually appreciate the color you gave on the industrial margins. So that's very helpful. Just one for me on the Mobility segment. The outlook for 2025 now calls for revenue growth, previously, it was flat year-on-year. It looks like industry conditions have gotten incrementally worse. We're seeing production cuts. It seems to be reflected in the market assumptions you published. What gives you confidence you can see growth this year? And how much of the growth do you assume will come from favorable FX?
Linda Hasenfratz: Yes. I mean we did -- we are seeing a little bit stronger sales forecast on the mobility side this quarter than we did last quarter, and the change from flat to seeing some growth. Part of it is, frankly, a stronger Q1 than we had been forecasting. But part of it is also stronger forecast in subsequent quarters as well. Certainly, I think part of it is this a little bit stronger pull that we saw in Q1 than we had been expecting, which, as both Jim and Mark have said, is actually continuing on into the second quarter. So, I mean, for the programs that we're on, we're seeing our customers pulling the volumes.
Jim Jarrell: Yes. I think that's what we see today, right? And the other thing that could be playing out here is there could be higher volumes coming from mix, with us having more customers that we deal with having higher volumes, and then we would have a higher outlook. China has also been another area that we've been seeing some good growth in regards to sales, and especially with our customer base.
Operator: Thank you so much for that question as well. And since there are no further questions at this time, please continue Ms. Linda.
Linda Hasenfratz: Okay. Thank you so much. Well, before I move to my concluding comments, I want to highlight that we are hosting an Investor Day next week for capital markets and institutional shareholders. It's an in-person event. It's being held Thursday, May 15. It's going to start at 9:00 a.m. here at the Franca Center for Excellence. In addition to executive management presentations, we're also going to be showcasing the very latest technologies we offer across mobility, access, and A. And we encourage you to preregister, and we can talk about technologies and exciting things, and not just tar, which is just one more week of what's going on in the business. Okay. So to wrap up, I'd like to leave you with our key message for the quarter. Overall, I think we delivered a solid quarter with earnings growth in a challenging environment with both segments growing earnings, driving overall earnings growth despite softer sales, I think our performance has been excellent. Secondly, we're very proud of our global teams and their excellent efforts around cost reductions and operational streamlining that is helping to drive our OE margins back up to the 10% level that we target. Third, market share growth in all our businesses is a key element in managing soft markets. It's critical. We're doing it, and it's helping to offset what's happening on the market side. And finally, another quarter of positive free cash flow means our balance sheet is strong. We've got solid liquidity to position ourselves for further growth opportunities. So thanks very much, everybody, and have a great evening.
Operator: Thank you so much for that, Ms. Linda. And this concludes today's call. Thank you for participating. You may now disconnect.